Operator: Good day and welcome to the Progress Software Corporation Q1 Investor Relations conference call. At this time I would like to turn the conference over to Mr. Brian Flanagan. Please go ahead, sir.
Brian Flanagan: Thank you, Cassandra [ph]. Good afternoon everyone and thanks for joining us for Progress Software's fiscal first quarter 2016 earnings call. With me today is Phil Pead, President and Chief Executive Officer; Jerry Rulli, our Chief Operating Officer; and Chris Perkins, our Chief Financial Officer. Before we get started, I'd like to remind you that during this call we may discuss our outlook for future financial and operating performance, corporate strategies, product plans, cost initiatives, or other information that might be considered forward-looking. This forward-looking information represents Progress Software's outlook and guidance only as of today and is subject to risks and uncertainties. Please review our Safe Harbor Statement regarding this information which is available both in today's press release as well as in the Investor Relations section of our website at progress.com. Progress Software assumes no obligation to update the forward-looking statements included in this call whether as a result of new developments or otherwise. Additionally, on this call we may refer to certain non-GAAP financial measures such as revenue, operating margin and diluted earnings per share. You can find a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP numbers in our earnings release issued today. Today we published our financial press release on our website and also furnished the information to the SEC in an 8-K filing. These documents contain the full details of our financial results for the fiscal first quarter 2016 and I recommend you reference these documents for specific detail. Today's conference call will be recorded in its entirety and will be available via replay on our website in the Investor Relations section. And with that, I'll now turn it over to Phil.
Phil Pead: Thank you, Brian. Good afternoon everyone and thank you for attending our first quarter earnings call. We expected the first quarter of fiscal year 2016 to be a comparative bookings challenge coming off such a strong quarter in Q4. However, while there is definitely some seasonality in our business, December bookings were weaker than expected, particularly across our Telerik solutions. The Telerik bookings shortfall, coupled with the lower level of license sales to our OpenEdge direct and Pros customers resulted in overall first quarter revenues that were slightly below our expectations. I'll address OpenEdge's direct enterprise sales in a few minutes, but let's start with a discussion of Telerik's bookings. Since acquiring Telerik, our objective has been to accelerate their bookings growth and scale their opportunities. By leveraging our strong partner base and enterprise sales knowledge, as well as our experience in driving a high level of maintenance renewals, we felt we could increase Telerik's growth beyond 20% over time. However, we decided not to integrate them immediately into our existing go-to market plans and operations since we wanted to better understand the rhythm of the business and we didn't want to interrupt the level of success they had achieved under their own operating model. As we've progressed through 2015 we identified opportunities for synergies and began taking steps to more fully integrate Telerik with our other go-to market initiatives, organizations, systems, and processes. This began in July with Jerry's appointment as COO and continued in Q4 with the organizational changes we made to enable stronger cost collaboration amongst product management and sales and a tighter integration of the product management and product development teams. While we retained the dedicated business unit sales teams for each of our products, most of the changes are organizational structure [inaudible] all of our sales directly [inaudible]. We hired enterprise sales resources to [inaudible] Telerik's revenue opportunities and also integrated their business onto our existing CRM system [ph]. This is a substantial amount of change and we accomplished most of it while also driving toward our strong finish in Q4 last year. While we had expected to see some temporary productivity declines from these integration activities as we began fiscal year 2016 and had guided accordingly, the impact on our December bookings for Telerik was more significant than expected. To take one example, having all of our businesses utilizing one CRM system will provide tremendous benefits and efficiencies for sales and marketing moving forward, but in the short term it impacted Telerik's lead follow-up in December. That said, beginning in January and continuing throughout February, we saw strong rebounds of our bookings for Telerik solutions, but not enough to make up for the shortfall in December. While I'm disappointed in our Telerik December performance, I am encouraged by our results for January and February which are much more aligned with our expectations and expect this trend to continue through 2016. Through the subsequent two months of the quarter, we not only experienced strong bookings momentum but also saw increased deal sizes as we engaged more strategically with enterprise customers. The bookings uptick in January and February and the increased deal sizes are the result of ongoing strategic initiatives that will also help us drive bookings growth for the rest of this year. We continue to develop relationships with third parties, particularly internationally where Telerik has not historically had a strong presence. This broadens our sales reach, taking advantage of the channel model that's worked so well for our OpenEdge and DataDirect products. In addition, our new enterprise sales teams are productive and we're starting to see success in selling larger dev tools and [inaudible] deals to enterprise customers. With regards to our OpenEdge segment, our partner business, which represents more than 60% of our OpenEdge revenues, remained solid with strong license growth, in EMEA in particular, and we achieved very healthy maintenance renewals for the quarter. For our OpenEdge direct enterprise customers, we have experienced strong license growth than prior years as they added additional users and locations. While we did not expect the same level of expansion going into 2016, we did anticipate license growth in each quarter given the visibility in our current pipeline as well as new opportunities we develop as the year progresses. However, some of the opportunities we expected to close in Q1 did not materialize, which contributed to our revenue shortfall for the quarter. As we've discussed in the past, license sales to our OpenEdge direct enterprises often tend to include larger deals, resulting in a lumpier business when compared to our ISV partner base which is much steadier from quarter to quarter. We are working some large deals currently in our pipeline, but by their nature they are more difficult to predict and forecast, so we think it is appropriate to take a more cautious view of our direct enterprise license sales for the rest of the year. We still expect a solid performance from our ISV partners as we continue to focus on delivering technologies that significantly improve the competitiveness of their solutions in their respective markets. Because the Telerik bookings shortfall occurred at the beginning of the fiscal year, it has a significant impact on our revenue expectations for the year. While we believe that we will be able to meet our bookings goals for the remainder of this year, we also believe that it will not be sufficient to make up for the December miss. Due to this expected revenue shortfall for Telerik, together with taking a more cautious view of our sales to OpenEdge direct enterprises, we will need to adjust our full year revenue guidance accordingly, and Chris will provide more detail in his prepared remarks. We have made substantial progress. We now have almost 2 million new developers using our technologies to build engaging applications. More than 10,000 customers have built rich, dynamic websites so that they may better engage with their customers and be digitally discovered. Our mobile platform provides a richer user experience with higher performance by enabling developers to build native apps without having to use native technologies. Our OpenEdge partners and enterprises are adopting our open modernization framework, which easily integrates many Telerik solutions and underscores our cross-selling opportunities. The world's largest software companies have embedded our data connectivity solutions. And so while our progress may encounter some bumps, I couldn't be more excited about our future. And so while the guidance for the first half of our fiscal year is below our previous expectations, the large opportunities we are engaged in and the increased momentum of our Telerik bookings gives us optimism for a strong second half of the year. I'll now turn it over to Jerry who will provide a more detailed review of our operational results for the quarter. Jerry?
Jerry Rulli: Thank you, Phil, and good afternoon everyone. As Phil mentioned in his remarks, our revenues for the first quarter were slightly below our expectations, particularly in bookings of our Telerik products and in license sales to OpenEdge direct enterprise customers. Let's start by looking at each of our segments all on a constant currency basis. OpenEdge revenue was $67 million, down 3% for the quarter compared to last year. License revenue from our ISV partners were steady and actually above our expectations, but license sales to our direct enterprise customers were significantly lower compared to a very strong first quarter performance in 2015. As Phil noted, license sales to our direct enterprise customers tend to be larger and more difficult to forecast than sales to our ISV partners, and some of the opportunities we have targeted for Q1 and Q2 will instead likely close in the second half of this year. While the pipeline for these deals is consistent with prior years, we are taking a more cautious view on timing and also reducing our overall direct end-user license outlook for the year. The OpenEdge Q1 license decline was partially offset by an increase in maintenance revenue, driven by a renewal rate of well over 90% in the quarter. Our OpenEdge renewal rate continues to be very healthy and has in fact improved substantially over the past several quarters, a great indicator that our customer base is pleased with the new technology and support we have to offer and that they remain committed to their relationship with Progress. Corticon sales -- license sales decreased in the quarter. As I've mentioned in prior quarters, our strategy for this product is to broaden our sales efforts by establishing partnerships with systems integrators and consulting firms which will enable us to sell Corticon as part of an overall solution instead of solely as a standalone product. We've gotten good traction with this channel expansion internationally where pipelines are growing, with momentum in North America also beginning to build. Overall, revenue had been a little slower to accelerate than we had hoped, but we remain convinced that our channel strategy will allow us to maximize Corticon's potential. We also contracted several large modernization projects to direct enterprises during the quarter and our overall pipeline is growing substantially. Modernization is an ongoing process and our consulting organization continues to deliver value to our customers and partners as we work with them to ensure their applications keep pace with the changes in their markets. We also saw growth in our SaaS related revenue for OpenEdge, with revenues of approximately $5 million for the quarter. We expect this trend to continue throughout FY16, further increasing the percentage of our revenue that is recurring in nature. Bookings for our application development and deployment segment were $19 million for the quarter. Sitefinity and Telerik platform bookings both showed growth in Q1 while dev tools declined year over year. All of our Telerik products were affected to some degree by the December bookings levels, but the majority of the impact was on the dev tools products in both license and maintenance. Sales of dev tools licenses to net new customers, primarily developers who utilize the no-touch digital model to download and pay for the tools on Telerik's website were healthy and in line with our expectations. However, renewal maintenance and license expansions to existing customers are areas driven primarily by inside [ph] and direct sales activities and were therefore most impacted by the short-term productivity declines caused by our integration activities. Revenue for the app dev segment was $19.5 million, reflecting growth of 3% versus Q1 of last year and included SaaS and subscription revenue of approximate $1 million. While the bookings for Q1 were below our expectations, we do expect the positive momentum we saw on January and February to continue building for the rest of the year. The consistent lead follow-up we need to achieve our bookings targets was back in place as of January, and with a relatively short sales cycle for many of our Telerik's products, this positively impact bookings in Q2. Our new enterprise sales teams are beginning to have an impact, with good growth on our pipeline for Sitefinity and Telerik platform. Renewal maintenance, while not beating our expectations in Q1, should benefit for the rest of the year from more rigorous renewal process we put in place during the quarter. The consistent lead follow-up established at enterprise sales teams and refined renewal process, along with the expansion of our channel strategy that Phil mentioned, all give us confidence that we can meet our bookings objectives for the rest of FY16. Revenue for our data connectivity and integration segment was $6.6 million for the quarter, a decrease of 7% versus last year, but generally in line with our expectations for Q1. Our multiyear license backlog of $16.8 million represents a slight decrease versus Q1 of last year, which was $17.2 million, and versus a Q4 backlog of $17.7 million, due to timing of our OEM contract renewals. Our OEM partners continue to renew and expand their distribution agreements, and based on our current pipeline and visibility into these contract renewals, we're confident that we will show revenue growth for the next three quarters and for the full year. In closing, while our revenues for the first quarter were slightly below our expectations, the actions we've taken in the first few quarters will serve as a foundation for our revenue growth going forward. We still see substantial opportunities in the marketplace that validate our technology strategy and capabilities and our products provide developers with the tools they need to build best-in-class SaaS, cloud, web and mobile applications. I'll now turn it over to Chris to review in more detail our first quarter financial performance as well as our expectations for the second quarter and for the full year of 2016. Chris?
Chris Perkins: Thank you, Jerry, and good afternoon everyone. As we mentioned in our earnings release, we were below the low end of our guidance range for the quarter, reporting total non-GAAP revenue of $90 million compared to $95 million in Q1 2015, a decrease of 5%. On a constant currency basis, revenue decreased by 2%, due to a $3.2 million negative year-over-year impact from currency translation due to the strengthening of the U.S. dollar versus the prior-year first quarter. Our first quarter non-GAAP earnings per share was $0.27, down $0.02 when compared to the first quarter of 2015. In addition to lower revenue, the decrease was also due to a $0.02 impact from a foreign exchange transaction gain in Q1 of 2015 realized on certain intercompany balances related to the Telerik acquisition structure, and a $0.01 negative impact from currency translation, both of which we discussed during our Q4 2015 earnings call. Excluding the impact of the foreign exchange gain in Q1 of 2015 and the impact of currency translation, growth in non-GAAP earnings per share was 4% for Q1. Non-GAAP revenues include acquisition-related revenue adjustments for Telerik, totaling approximately $1 million. As I discussed in our January guidance call and consistent with previous quarters, GAAP rules require us to eliminate certain pre-acquisition revenue classified by Telerik as deferred revenue. But we include this revenue on our GAAP quarterly reporting to better reflect our true business performance on a normalized basis. The year-over-year revenue decrease was primarily due to license revenue which was $24 million for the quarter. This represents a decrease of 17% at actual exchange rates and 14% on a constant currency basis. The license revenue decline was primarily due to the decreases in sales of OpenEdge direct enterprise customer licenses and to the shortfalls in Corticon licenses and Telerik bookings, all of which Jerry mentioned in his remarks. Licenses from our DCI business were also down slightly year over year but in line with our expectations, due to timing of OEM license renewals. Maintenance and services revenues were $66 million for the quarter, flat to last year at actual exchange rates, an increase of 3% on a constant currency basis. The increase in maintenance and services revenue was primarily due to healthy maintenance renewals on our OpenEdge segment along with an increase in SaaS revenue generated by our AD&D segment. OpenEdge maintenance renewals were well above 90% and, overall, maintenance revenue increased by 3% on a constant currency basis for the quarter, in line with our expectations. For our revenue by geography, North America was $50 million for the first quarter, down 7% for the same quarter a year ago. On a constant currency basis, EMEA first quarter revenue was $33 million, up 10%; Latin America revenue was $5 million, down 4%; and APJ revenue was $6 million, down 17%. The decrease in North America was primarily due to the lower level of OpenEdge direct enterprise license sales and to the shortfall in Corticon licenses and Telerik bookings. The increase in EMEA was due to strong OpenEdge license sales to both our ISV partners and direct enterprises and an increase in revenue from our Telerik products. The decrease in Latin America was due to the continuing difficult economic conditions in Brazil. The decrease in APJ is due to the partial recognition of a large multiyear OpenEdge deal in Q1 of last year. Non-GAAP total costs and expenses were $69 million, down $6 million from a year ago. The net decrease in operating expenses year over year is primarily the result of decreases in other compensation costs related to our 2015 integration initiatives and margin improvement activities, a lower level of spending for outside services and a lower level of variable compensation expense. Non-GAAP operating margin in the first quarter was 24%, 3 percentage points higher than the first quarter of 2015, primarily due to the expense decreases I just noted. Moving to a few balance sheet and cash flow metrics, the Company ended the quarter with a strong balance sheet with ending cash, cash equivalents and short-term investments of $251 million. After making scheduled principal payments during the quarter, our ending debt balance was $141 million. Net DSO for the first quarter was 59 days, up 7 days sequentially and up 3 days from Q1 2015 due to the timing of billings in the quarter. Even though DSO was up sequentially, we are comfortable with this DSO level and the quality and aging of our receivables continues to be very good. Deferred revenue was $145 million at the end of the first quarter, compared to $126 million in Q1 2015, an increase of $19 million. The increase was driven primarily as a result of the Telerik acquisition. As a reminder, sales from our Telerik products and services are generally billed and collected upfront while revenue is recognized ratably over the term of the arrangements. In line with our expectations, adjusted free cash flow was approximately $23 million for the quarter, compared to $36 million in Q1 2015. Cash flows in Q1 2015 were particularly strong due to improvements in working capital, driven largely by a shorter collection cycle of Telerik receivables. In addition, compared to the prior year, Q1 of 2016 was impacted by higher tax payments, the payment of higher variable compensation relating to the FY 2015 performance, and the payment of retention bonuses as part of the Telerik acquisition. We repurchased 478,000 shares in the first quarter at a cost of approximately $12 million as part of the share repurchase program authorized by our Board in September 2015. As of the end of our first quarter, we had approximately $103 million remaining under this authorization. Turning to our updated guidance for fiscal year 2016, we expect non-GAAP revenue to be between $414 million and $420 million, which at actual exchange rates would be flat year over year at the low end of the guidance and 2% growth at the high end of the guidance. At constant currency rate, this guidance represents an increase of 2% to 3%, as this includes estimated year-over-year negative currency translation impact on our 2016 revenue of approximately $7 million. This currency impact is more significant in the first half of the year and is unchanged from our previous estimate. Our previous annual revenue guidance was between $427 million and $433 million. The decrease in the top and bottom of the range is primarily due to two areas that Phil and Jerry discussed previously: a more cautious view on the level and timing of license sales to our OpenEdge direct enterprise customers for the rest of the year. Although we are working several large opportunities that could possibly impact the second half of the year, we are being cautious on the timing to close those transactions. And lowered revenue expectations for our AD&D segment. We do feel confident that Telerik's bookings will improve substantially for the remainder of the year but we are adjusting our full year revenue outlook due primarily to our first quarter bookings performance. We still expect a solid license performance from our ISV partners for the full year as well as stable OpenEdge maintenance revenue due to our strong renewal rate. Additionally, we expect our DCI segment will show growth in future quarters and for the full year. This guidance assumes approximately flat revenue from our OpenEdge segment, mid to high single-digit revenue growth from our AD&D segment, and low to mid-teens growth in our DCI segment. Additionally, despite the shortfall in December, our outlook includes low to mid-teens booking growth for Telerik for the full year. As I discussed in my earlier remarks, we will continue to include pre-acquisition deferred revenue in our non-GAAP quarterly reporting for FY16 which better reflects the true business performance on a normalized basis. Our full year guidance includes approximately $2 million of non-GAAP revenue. We are lowering our expectations for our 2006 non-GAAP operating margin to 29%, a slight decrease versus our previous guidance of 29% to 30%. This is due to the decrease in our revenue guidance. We also announced today that our Board of Directors has authorized an additional $100 million in share repurchases, increasing our authorization to $203 million in total. Our intent is to utilize all of this authorization by the end of the fiscal year, and we will provide updates each quarter on any repurchase activity and its impact on future earnings per share. Our non-GAAP earnings per share guidance for the full year is $1.57 to $1.63. This updated guidance reflects the decrease in our revenue guidance and also the favorable impact from the $203 million share repurchases throughout the remainder of the year. Depending on trading volumes and the average repurchase price, this impact is expected to be approximately $0.06 to $0.08 on our full year earnings per share. This represents a decrease of $0.02 or approximately 1% from our prior guidance. We continue to monitor exchange rates, based on our current exchange rates, estimated total year-over-year negative impact of currency movements on our non-GAAP EPS guidance is between $0.02 and $0.03, unchanged from our previous guidance. We are also lowering our guidance for adjusted free cash flow, to be between $80 million and $85 million, a decrease of $17 million from our prior guidance. The decline in our adjusted free cash flow is related to the decrease in our overall revenue guidance and to the lowering of our projected level of Telerik bookings growth. Our non-GAAP effective tax rate for the full year is expected to be approximately 33%, unchanged from our prior guidance. Our fiscal 2016 second quarter guidance, we expect revenue to be $93 million to $96 million, a year-over-year decrease of 5% to 8%. Our guidance for the second quarter is based on current exchange rates which negatively impact our revenue outlook by approximately $1 million to $2 million. And excluding the currency translation impact, revenue would be down 4% to 7% for the quarter. The expected year-over-year decrease in revenue for the second quarter is primarily caused by the same issues impacting our full year guidance, caution on timing and lower levels of license sales to OpenEdge direct customers, and the shortfall on December bookings for Telerik. In addition, Telerik's non-GAAP revenue was favorably impacted in Q2 2015 by the recognition of a larger portion of the $35 million of non-GAAP deferred revenue related to the acquisitions. As we discussed last year, a portion of Telerik's non-GAAP deferred revenue was delayed until certain product updates were completed and delivered. These updates were delivered in Q2 2015, resulting in increased non-GAAP revenue for Telerik in the second quarter of last year. We expect non-GAAP earnings per share of between $0.26 and $0.29 for the second quarter, a decrease of $0.06 to $0.10 or 17% to 26% versus Q2 of 2015. The impact of exchange rates on our second quarter EPS is expected to be approximately $0.01 to $0.02. The year-over-year decline in earnings per share is primarily related to the revenue decrease, along with our continuing investments to support our growth objectives. We still have hiring plans in place to support our second half growth but will of course monitor our revenue performance closely and be prudent in hiring decisions going forward. In summary, we're disappointed in our Q1 revenue performance, also feel that it's appropriate to take a more cautious view on our revenue growth in several areas for the rest of the year. The opportunities for growth we were expecting in FY16 had been slower to materialize but we are still confident in the stability of our OpenEdge partner and DCI business and the long-term growth opportunities within our application development deployment segment, driven by our Telerik products and strategy. With that, I'd like to hand it back to Phil.
Phil Pead: Thank you, Chris. Although we've lowered our revenue guidance for the year based on our Q1 results and our expectations for Q2, we feel positive about our growth in the second half. We believe we'll be able to meet our bookings goals for Telerik for the rest of this year and we continue to be engage in larger sales opportunities, particularly with our OpenEdge direct enterprise customers. I want to emphasize that these opportunities could have a meaningful impact on our revenue expectations, but given their size and the typically less predictable nature of large opportunities, we're taking a more cautious view. Earlier today we announced that Chris Perkins will retiring after a transition period while we search for his replacement. While this decision is difficult for me personally and professionally as I've worked with Chris for more than 15 years, I completely understand his strong desire to spend more time with his family. I'll now hand it back to Brian to open it up for questions and answers.
Brian Flanagan: Thank you, Phil. That concludes our formal remarks for today and I'd now like to open up the call to your questions. I ask that you keep your remarks to your primary question and one follow-up. I will now hand over to the operator to conduct the Q&A session.
Operator: Thank you. [Operator Instructions] We'll take our first question from Greg McDowell of JMP Securities. Mr. McDowell, your line is open.
Richard Deloria - JMP Securities: Hi, this is Richard Deloria dialing in for Greg McDowell. Thank you for taking my questions. So, first, looking at OpenEdge, you had mentioned that there were some deals that you had expected to close in Q1 that didn't materialize. What were the kind of major contributing factors here? Was it sales execution, competition, a weak spending environment, or were there other factors at play here?
Jerry Rulli: This is Jerry. It wasn't so much competition. It's just that these are transactions that, you know, are long in nature. I mean these discussions have been going on and will continue to go on. So there's no -- there was no competition involved at all and we feel positive about these transactions in our pipeline. There's just, I used gnarly, just have a lot of negotiations going on and they take a little longer sometimes.
Richard Deloria - JMP Securities: Got it, got it. And on Telerik, I know in the past you had mentioned one of the challenges was a mismatch in the calendars between Progress and Telerik, and I know you've been talking on this call about some of the integration issues you've been facing. Has this been one of the issues that's been faced or is this something that's still, you know, coming to line those up?
Phil Pead: Let me take that and I'll hand it over to Jerry for some more color on that. The timing of yearends obviously, as I mentioned before, impacted us, especially when it comes to sales organizations being compensated to drive as much revenue for the end of the year and the end of the quarter. And we have essentially resolved that as we moved through the integration. But we've done an enormous amount of work on ensuring that the renewals part of our dev tools business scales to the much larger revenue growth that we're expecting from that business. There's a lot of work that was involved in that. There was a lot of infrastructure replacement. There were additional new hires to be made, training, a much more rigorous process for lead follow-up. All of these things were necessary because, when we acquired Telerik, we've now added significantly larger amount of revenue, and as we look to grow this business, as we mentioned earlier, 20% over time, we needed to make these foundational changes to accomplish that. That's a lot of change. It did in fact affect our productivity. We did expect that for Q1. But clearly it impacted us to a higher level than we expected, particularly in December. I can say though, however, since then, January, February and of course now that we're into March, we're seeing bookings levels that are much aligned with our expectations. We're not there yet but I'm very confident that, with the process that we've put in place and the changes that we made to the systems to monitor and ensure that the lead follow-up is strong, that those bookings will eventually return to the level that we expect through the balance of this year and meet our bookings expectations. I don't know, Jerry --
Jerry Rulli: I think you [inaudible] I was kind of just emphasize that we, as Phil mentioned, we did plan on some integration issues [inaudible] the year, they were a little bumpier than we thought. We've worked through them. I think we have a very good plan identifying, expecting [ph] all those issues going forward, so --
Richard Deloria - JMP Securities: Okay. And then last question for me and I'll jump off. But just in general in terms of the selling environment. Are you seeing any signs of a spending slowdown on software, specifically here in the U.S.?
Phil Pead: I think that, you know, we, you know, at the macro level, I think that that's definitely something that we believe could impact us for the balance of this year. I hope that we guided appropriately. I also think that our revenues are somewhat hedged by the fact that a substantial portion of them are also derived internationally, outside of the U.S. But I think that the macro environment for these kinds of expenditures we do believe that there could be some headwinds this year.
Richard Deloria - JMP Securities: Okay, great. Thanks a lot guys.
Operator: And we'd go next to Steve Koenig of Wedbush Security.
Steve Koenig - Wedbush Security: Hi, gentlemen. Thanks for taking my question and thank you to Chris for all your help these last few years. And we wish you luck in your next stage here.
Chris Perkins: Thank you, Steve.
Steve Koenig - Wedbush Security: I want to do a housekeeping question for you guys and then get to another question. So you gave the bookings numbers out for I think a couple of the businesses, we can calculate the third one. Do you -- can you give us a notion of the comparison or the percent or the prior-year bookings, or do you have that and I missed it?
Chris Perkins: It's posted on the website, if you want to check it out there.
Steve Koenig - Wedbush Security: Right. Okay, perfect. That's right, you guys started doing that last quarter. Okay.
Chris Perkins: Yes.
Steve Koenig - Wedbush Security: Thank you. Great. And then, you know, I wanted to ask you, so a little bit about the guide for Q2 and then the full year. So you've explained the same factors that hit you in Q1 are responsible for taking the full year guide down. Any sense of like which of the two factors is bigger in terms of taking the full year guide down, the OpenEdge direct or Telerik bookings and revenue? And then kind of the second part of that question, if you will then, is, you know, now that we look at the Q2 guide versus the full year guide, there's a real -- you took the full year guide down quite a bit but there's a very big ramp now from Q2 then to the back half of the year. So, can you give us a little color on what drives that ramp, what are the biggest drivers, and any sense of the timing of DataDirect connect OEM renewals, how do they play and sort of how the cadence for the year flows?
Chris Perkins: Sure. Yes, the reduction in the guidance was driven certainly by a larger component of it was related to the OpenEdge direct enterprise license sales, which we pulled down and took a cautious view on timing as well. So that was certainly the larger portion of the impact. The secondary impact was related to the Telerik bookings miss in the early part of the year that has an impact because all the revenue is recognized ratably. As bookings continue to improve or their trajectory improves, it doesn't develop into revenue immediately at the time of booking. So, clearly it's OpenEdge direct end-user license as the largest impact.
Steve Koenig - Wedbush Security: Okay. And then the ramp, yes, go ahead. I'm sorry, Chris.
Chris Perkins: Yeah, it is ramp, but I'll let Jerry comment some as well. But as we described, again it was primarily related to the direct end-user licenses. And we've got a number of opportunities and some large opportunities in our pipeline that we're working very actively. And we, because of we saw that we missed or some of those that timing didn't work out in Q1, we actually took a very cautious view on Q2 and the rest of the year and pushed from a guidance perspective most of that license business. We reduced it and we also put what we will achieve and have some confidence in achieving in the second half of the year. Jerry, I don't know if --
Jerry Rulli: No, I think that's very accurate, Chris. I think the statement [inaudible] that we also discussed is that we have confidence in the business. The OpenEdge ISV business is very solid, the renewal rates are very strong. And it comes down to the ongoing discussion with some of these larger opportunities and making them feather in [ph]. I've been doing this a long time and sometimes you wish you could control the purchasing cycles of other companies and you can't. But the good news is we do have -- the pipeline has been consistent and the deal structures that are out there. So that's why, like Chris said, we have confidence, but we did move those transactions in the second half of the year.
Chris Perkins: And last, again, we do have very good visibility into our data connectivity and integration OEM license renewals, which is a meaningful driver of the license revenue there, and again as I mentioned, I think we will see growth in the future quarters as well as on a full year basis based on our view of that pipeline of renewals.
Steve Koenig - Wedbush Security: And just for clarifications, is there any -- is there going to be any -- do you expect any lumpiness in those renewals, like certain quarters or the back half benefit, you know, more than, say, Q2 or is it the renewal cadence be pretty even?
Chris Perkins: There are some lumpiness. Q2 will be positive year-over-year growth. But there is lumpiness. It just depends on the timing of when those renewals happen. So we've seen that in the past, but Q2 will be positive year over year and that will continue for the rest of the year, to the back half.
Steve Koenig - Wedbush Security: Got it. Okay. Very well. Thanks very much for taking my questions. And farewell, Chris.
Chris Perkins: Yeah. Thank you.
Steve Koenig - Wedbush Security: [Operator Instructions] And we'll go next to Glen Mattson of Ladenburg Thalmann.
Glen Mattson - Ladenburg Thalmann: Hi, good afternoon. Just curious about, you know, going back to Analyst Day and comparing some of the more recent results with some of the long-term targets, particularly app dev space. I mean I think you guys forecasted growth of 20% to 30% in that area and I think you're targeting bookings to be getting back to just 15% I think this year. So, do you still stand by those longer-term Company targets that are heavily reliant on that segment?
Phil Pead: Yeah, we do, Glen. This is Phil. Clearly the -- we believe that the productivity impact in Q1 was and is temporary, that the changes that we make as we go along here are part of the necessary changes that sometimes don't necessarily provide for the greatest quarterly results, but we're building a company for the long term here and it's really important that the foundation is strong. And the fact that we have seen the level of bookings move substantially up to where we are expecting them to be, as I said they're not where they need to be just yet but we have every confidence that we'll reach that. And if that continues throughout the balance of this year, then the revenue growth targets and the bookings growth targets that we expect from that business will absolutely materialize.
Glen Mattson - Ladenburg Thalmann: Just to dive a little deeper on that, is the, maybe for Jerry, is the Sitefinity growth rate holding? I mean that was one of the larger segments that was growing quite nicely from what I recall, is that, you know, north of 50%, is that still the case?
Jerry Rulli: No. I would say that it met our expectations in Q1 and we're on target for the growth rate for the year. So we have a high degree of confidence. One think I was going to mention, Glen, on top of what Phil said, is that the investments we made were some internal but there were some external investments in the sense of adding headcount and opening up channels. We made some really good progress in Q1, a little bit in Q4, of channel improvement [ph] and channel recruitment, which will manifest in the Sitefinity and Telerik platform sales. I expect that to be a little bit second half just from a normal channel growth. We have some of that built into our growth opportunities, but I would say Telerik and -- Telerik platform and Sitefinity were right on the number that we expected in Q1, which bodes well for the rest of the year.
Glen Mattson - Ladenburg Thalmann: Okay. And last, if I could squeeze one more, on OpenEdge. Are these large direct deals larger than in the past or is this of a typical size for a larger deal in that area?
Jerry Rulli: These are fairly significant transactions that we've had in the past. Some of them may get larger. The situation with some of the OpenEdge direct account is they become somewhat fluid, as we discussed, the growth opportunities for these accounts and how much of a technology stack [ph] they're going to consume. So it's not uncommon for these opportunities to start at one size and over the course of 90 days grow substantially. So I would say these transactions are in line with what I've seen in the last 18 months to two years and some might get a little bit bigger than that.
Glen Mattson - Ladenburg Thalmann: Okay. So there's really no sort of to pin a reason other than just kind of a longer sales cycle on the slower version. Okay.
Jerry Rulli: Yeah.
Glen Mattson - Ladenburg Thalmann: All right, thanks.
Operator: And we'll go next to Mark Schappel of Benchmark.
Mark Schappel - Benchmark: Hi, good evening. Thanks for taking my question. Chris, starting with you, I suppose, congratulations is in order for your upcoming retirement. You'll be missed out here though. So, congratulations. Is there, Chris, is there a specific date associated with your retirement?
Chris Perkins: No. No. I'm going to be focused on continuing to work with the Company. Phil and Jerry and the entire team and I will make sure that the Company gets the right financial oversight. And I'll be available to help them work through the transition to a successor. So there is not a specific timeframe.
Mark Schappel - Benchmark: Okay, thanks. And then, Phil, in your prepared remarks, if I recall correctly, you noted that the combined Progress, Telerik CRM system that you were implementing caused a few of the stumbles. I was wondering if you could just provide much more color or details around.
Phil Pead: Yeah. Let me pass that over to Jerry who was instrumental in driving that.
Jerry Rulli: Yeah. I think sort of an interesting, this is my third what I would call significant CRM transition in my career in the last probably 10 to 12 years, and no matter how we plan these things, some of the areas get a little bit more broader. I think I would focus it on two main areas that we've overcome. But they're mainly in I would call a training/workflow, the processes that the Telerik team were used to and employed were slightly different, and we recognized that going into it, but it was all -- some of it was the way they consume their leads and the implementation of our current system was slightly different than that, so that slowed and clogged the system. And the second area is an area that we knew would happen and we're, you know, we've got plans around that. This is data cleansing and data integrity that manifests itself into sort of account assignments and stuff. I think those are two key areas. And the third I'd say [ph] would just be normal training, getting people used to new system and getting up and running and continuing. Those are the areas that we addressed in the quarter.
Phil Pead: But Mark, this is Phil, just to add to Jerry's comments. These kinds of infrastructure changes are absolutely necessary if we're going to scale this business. They had a system that was just not capable of doing that and they had a methodology that would not have allowed us to see the growth in that particular segment of the Telerik business. So, while, you know, we have to go through these -- we have to go through these changes, and they're not necessarily pleasant as we go through them, they're absolutely vital if we're going to continue to grow this business.
Mark Schappel - Benchmark: Okay, thank you. And then with respect to Corticon, I realize that Corticon revenue is relatively small compared to the rest of the products, but Phil, could you just review one more time what it was with Corticon that didn't meet expectation?
Phil Pead: Yeah, we actually moved to a different go-to market, Mark, that we've discussed, I think we definitely discussed it at the Investor Day and talked about it subsequent to that, where we're going to be using a much more of a channel approach for Corticon rather than a direct enterprise sales approach. And we've made really good progress. This is, you know, it takes a while to build channel relationships, and while again we estimated that that would be the case, taken a little longer than we expected because we got to build the relationships, then we have to build the pipeline, and we don't always control the timing of that and the opportunities, and we always try and estimate what that would be, and we didn't exactly match [ph] it up in Q1. But we're very encouraged by the relationships we build, the pipelines that we have. And especially in some of our regional areas like EMEA and Latin America, we think there's some opportunities there for us to realize some nice deals, particularly as we move towards the second half of the year, which is why we're bullish on the growth that we see for the second half of 2016.
Mark Schappel - Benchmark: Okay, thank you.
Phil Pead: You're welcome.
Operator: And this concludes today's question-and-answer session. At this time I will turn the conference back to Mr. Brian Flanagan for any additional or closing remarks.
Brian Flanagan: Thank you all for joining the call today. As a reminder, we plan on releasing financial results for our fiscal second quarter of 2016 on Wednesday, June 29, 2016, after the financial markets close, and holding the conference call the same day at 5:00 p.m. Eastern Time. We look forward to speaking with you again soon. Have a good day.
Operator: And this does conclude today's conference. We thank you for your participation. You may now disconnect.